Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Gannett Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. I would now like to hand the conference over to your speaker, Ashley Higgins, Head of Investor Relations. Thank you. Please go ahead.
Ashley Higgins: Thank you, Natalya. Good morning, everyone, and thank you for joining our call today to discuss at Gannett’s second quarter 2020 results. Presenting on today’s call will be Mike Reed, Chairman and Chief Executive Officer; and Doug Horne, Chief Financial Officer. During this call, we will discuss Gannett’s financial results for the quarter. If you navigate to the Gannett website, you will find that we have posted an earnings supplement, in addition to our earlier press release. We will be referencing it today on the call, as it provides you with additional detail on this quarter’s performance. Before we begin, please let me remind you that this call is being recorded. In addition, statements made during this call with respect to future results and events are forward-looking statements that are based upon current expectations. Actual results and events could differ materially from those discussed today. We encourage you to read the forward-looking statements disclaimer in the presentation as well as the Risk Factors described in Gannett’s filings made with the SEC. In addition, we will be discussing some non-GAAP and pro forma financial information during the call today. You can find reconciliations of our non-GAAP measures to the most comparable GAAP measures in the earnings supplement. The pro forma information presents Legacy Media and Legacy Gannett on a consolidated basis. Lastly, I would like to remind you that nothing on this call constitutes an offer to sell or solicitation of an offer to purchase any interest in Gannett. The webcast and audiocast is copyrighted material of Gannett and may not be duplicated, reproduced, or re-broadcasted without our consent. With that, I’d like to turn the call over to Mike Reed, Gannett’s Chairman and CEO.
Mike Reed: Thanks, Ashley. Good morning, everyone, and thanks for taking the time to join our call this morning. When we last spoke in May on our Q1 earnings call, it was the first couple of days of May. We were in the thick of this brand-new health crisis and the immediate and fast impact it had no on our country. And at that time, we shared some expectations for the second quarter, cautiously based on our preliminary assessment of the impact of the pandemic on our business through the first 5 or 6 weeks that we were able to see. Unfortunately, our guidance proved to be largely accurate. Although, we did see slightly better revenue as the quarter went on, and we did see slightly better expense results, which led to a stronger EBITDA number than we were anticipating when we spoke in early May. So, I guess that was good news. Our revenues for the quarter were down 28% for the prior year on a same-store basis and pro-forma for our acquisition of Legacy Gannett. Revenue trends improved throughout the quarter, with April revenue down just over 30% and June revenue down about 24%. We did see sequential improvement in each month through the quarter. Advertising revenue was the hardest hit category for us, though we saw a nice rebound during the quarter, which helped to drive the positive movement on trend in total revenue. On the circulation side, single copy sales had a major impact on our total circulation revenues. They were lower, due to business closures around the country, folks being sheltered in place for a good part of the second quarter, which hurt single copy sales. And then, the material impact came from the shutdown in travel, which impacted our hotel and airports single copy sales for the USA TODAY. On the subscription side, moving away from single copy, we were pleased with print subscriber trends, which held constant with our first quarter results and expectations through the second quarter. On a very positive note, we continued to see strong digital subscriber growth, ending the quarter up over 30% to the prior year with over 925,000 digital-only subscribers. That growth has continued in July. In fact last week was our single largest growth week for paid digital subscribers this year. We expect to pass 1 million paid digital-only subscribers within the next few months. Furthermore, we have ambitious goals and expectations for the digital subscription category. We expect this to be a major driver of our business in the coming years. We plan to share a lot more about our plans and goals in this category over the next couple of quarters, and you’ll hear briefly later on in this call how it fits into our strategic plan. As you all know, the COVID-19 crisis had an abrupt and severe impact on the economy. However, we quickly adjusted to the change in circumstances and were able to successfully implement over $125 million of expense savings during the second quarter. These savings were driven primarily by lower cost of goods sold, furloughs, wage and staff reductions, along with reductions in discretionary spend for categories such as travel and supplies and many more. This $125 million of quick to execute on cost savings was in addition to our synergy implementation and other previously implemented normal-way cost reduction efforts. Collectively, these measures resulted in costs being down over $240 million in the quarter or 26% to the prior year. In response to the pandemic, we prioritized the safety of our employees, while preserving our ability to produce vital news, by asking our employees to work remotely where possible and implementing new safety procedures for our manufacturing and distribution teams, who had to continue to come to work. In spite of these reconfigurations, we were able to continue to effectively execute on our synergy plans, which resulted in $41.2 million of savings during the second quarter. Year to date, we have implemented over $160 million in annualized synergies, which exceeds the annual goal we had set for ourselves for 2020. We are well on our way to realizing our full $300 million target by the end of 2021. And in fact, we believe we will exceed that target. The quick and significant efforts we took on the cost side helped us to preserve our EBITDA margin for the company, and we finished the quarter with $78 million in adjusted EBITDA, which as I mentioned a few minutes ago, exceeded our expectations as of the end of April Obviously, we are managing through very difficult times, and we don’t know how long this will last. Having said that, I want to mention a few things that our company and my colleagues here at Gannett did very well in the second quarter. First, all my colleagues here at Gannett worked extremely hard throughout the quarter to serve our communities during this unprecedented time. Everyone did their best to adjust to working from home or to new workplace safety policies. The shift was surprisingly seamless, especially given the speed with which everyone had to adapt. I applaud my colleagues and teammates for their flexibility, and I want to express my gratitude for the many sacrifices that I know have been made to enable them to continue to perform their jobs. Second, I want to give a special thanks to our news content teams. At no time in our history has the value of high-quality journalism been as clear as it is right now. We are at the intersection of a global pandemic and nationwide turmoil over systemic racism and inequality. Our journalists have worked tirelessly to help keep our communities safe and informed, while exercising the crucial role of holding public officials accountable. As digital social platforms are overtaken by the spread of misinformation, our readers trust us to sort through the noise with credible, fact-based and fair reporting, and we’re doing that. And since late February, we have had over 885 million views of our Coronavirus content. In late May, early June, when social justice protests swept the nation, we saw a 45% increase in average daily visits to our local websites. In the second quarter, our digital properties averaged over 147 million unique visitors every month, per Comscore. So folks are coming to us for this crucial information. The demand is there. I’d like to call out a few specific reporting efforts from the quarter while we’re talking about our content teams. Number one, in response to the horrific death of George Floyd, USA TODAY network explored 32 fatal police encounters since 2010, in which people said they could not breathe while being restrained. Also the Louisville Courier-Journal has continued to expose the tragic circumstances surrounding Breonna Taylor’s death, including the failure to attempt to save her life after she was shot. The Courier-Journal also has sued the city for investigative documents that it has refused to turnover. Another example, to clear up the misinformation about when a COVID-19 vaccine could be available, the USA TODAY put together an exclusive panel of prominent experts and developed a clock-based visualization. We asked each expert to estimate where we were along that time framework. The result was an enterprising story that really explained the challenges companies are facing to develop a widely available vaccine. This information will continue to be updated monthly. And finally, at The News Leader in Staunton, Virginia, our journalist, Brad Zinn, helped uncover missing evidence that ultimately freed a man, who served 24 years in prison. Rojai Fentress had sent out over 50 letters to the media from his Virginia prison, and Brad was the only reporter who responded. After Brad uncovered missing evidence, the Innocence Project took it on, leading to the governor’s surprise pardon last month. Back to some of the things we did well in the quarter. Number 3, I’d like to draw attention to some of the innovative work from our business-to-business marketing solutions team, which drove significant month-over-month improvement during the quarter. It did so by closely, partnering with businesses in our communities to help them manage through this extremely challenging economic period. One example was a partnership with our content teams on an editorial report called Rebuilding America, which highlighted over 250 communities and how they were adapting to the pandemic. This partnership brought in thousands of businesses for advertising. In partnership with our product team we’ve launched Support Local, a platform designed to connect community members with their local businesses, and to help individuals find ways to support local businesses during this crazy time. We all know how important that is, supporting our local businesses. It’s crucial. Within our Marketing Solutions segment that reached local business also showed continued strong improvement through the quarter, as small businesses re-opened and brought back online advertising campaigns. It seems hard work helped to end the quarter on a strong footing, and we are excited about their momentum continuing into Q3. Our forward-looking bookings for August and September look really strong in this business. Fourth, while our events business was significantly impacted during the quarter, due to restrictions and in-person gatherings, they successfully pivoted and launched 91 virtual events during the quarter on almost no notice. This enabled us to retain key financial performance, key sponsorships, and partnerships, while also creating a feel good outlet that was much needed for our communities. While revenue was down about 37% to prior year in our events division, many of our peers in the event space have seen revenue down over 90% in the second quarter. We had a pretty great accomplishment there. And though we had done some virtual events in the past, this pandemic caused us to dramatically increase the scope and scale of our virtual events. Our high school sports awards, for example, were broadcast virtually on June 18 in 59 local markets. This event generated over 14 million social media audience engagements. We also launched a new partnership for our outdoor race events division with DC Comics, and the first races will be a Wonder Woman race series. And since launching in June, we have had over 45,000 virtual registrations, and we’re targeting to double that number. Fifth, I’d like to reiterate that we are fast approaching one million digital-only subscribers. We are extremely proud of the work our consumer marketing team has done, as we continue to grow at an over 30% clip to the prior year. And lastly our company has been highly focused on how we can better stand in solidarity with the black community as an ally in the fight against systemic racism, racial injustice, and discrimination in all forms. We believe, through all of our media outlets and reporting, that we can keep the dialogue in our communities at the forefront and we can drive accountability through our reporting. Having said that, we also have much work to do internally to drive change. We are committed at the Board level and all areas of our company to fostering a diverse, inclusive, and equitable workforce at Gannett. As a company, we will be sharing our inclusion, diversity, and equity plan shortly, and we intend to publicly measure our progress toward our goals in the coming quarters and years. We are committed to driving change, both internally and externally. A disappointment for us in the quarter was the drag on some of our real estate sales. While we had no change in our overall expectations for real estate sales, we did see a couple of property sales get pushed out to later this year that we thought would close in the second quarter. As we look ahead, it is clear that we continue to face significant uncertainty for the second half of the year. In Q3, we expect revenue performance to be similar to or slightly better than our results in the month of June, when revenue was down 24% on the same store pro forma basis. That is a 400 to 500 basis points improvement from our overall trend in the second quarter. We have seen some pickup in our July trends, so we are hopeful that the economic backdrop will permit us to sustain these improving trends. On the expense side, we are maintaining our expense reduction measures, but we will be phasing out the temporary measures, such as for furloughs and wage reductions, and replacing them with permanent cost reductions, since the economy is likely to remain challenged or under pressure until the pandemic is slowly under control. In addition to the cost actions related to COVID-19, we also anticipate realizing over $50 million of synergies in the third quarter, which annualizes to over $100 million a year. Let’s move away from Q2, Q3 for a moment to talk about the bigger picture for the next couple of years. We believe our company is undervalued right now, in large part because of the uncertain economic outlook. However, we remain very optimistic about the future. We are highly focused on priorities that we believe will create value, and we see a clear path to significant upside over the next several years. There are few key operating priorities that remain at the center of our strategy. Let me review them quickly. First, we are highly focused on improving our financial performance, both revenue and EBITDA. There are 3 primary categories that will lead to improved revenue performance. First category is subscription income through large-scale growth in our digital-only subscriber base, along with the stabilization of our print base. Subscription income is already our largest revenue category, and as we accelerate digital subscriptions, we expect that this category will be a major driver of top line revenue growth. Second category is our digital marketing services business, which we expect to achieve double digit revenue growth by leveraging our footprint and reach across the U.S. This business segment already has more than $400 million in revenue and with the growth we foresee, we expect it to be a major contributor to our overall top line revenue growth. The third category is our events business. We are meaningfully expanding our community events presence in our business and post-COVID, we’ll target over 40% growth annually. Beyond our revenue efforts, we’ll continue to focus on creating an efficient, prudent cost structure which will lead to improved EBITDA and EBITDA margins. Our second operating priority over the next 2 years is our focus on debt repayment with the goal of refinancing our current term debt by the end of 2021. We intend to generate proceeds for debt repayment by executing on our financial performance plans as well as asset sales. We plan to sell another $100 million to $125 million in real estate and $40 million to $50 million of non-strategic, non-EBITDA assets, before the end of 2021. We believe that reducing leverage along with refinancing to a lower cost of capital will lead to significant upside for our shareholders. Our final operating priorities continued integration of legacy in the media and Legacy Gannett following our merger last November. We have made great progress on implementing synergies and once complete, our company will be well positioned for growth. The synergy savings is meaningful at $300 million on an annualized basis and as I mentioned earlier, I think we’ll do more than that. We will also benefit from leveraging common systems and much larger data sets, which will drive product and customer growth. Further sharing best practices across our massive footprint will further support our financial performance goals. Through stabilizing revenue growing EBITDA and free cash flow, accelerating debt repayment and re-financing to a lower cost of capital, we see a clear path to significantly higher enterprise and shareholder value. What I’d like to do now is turn the presentation over to Doug, our CFO, who will give us detailed financial performance review. Doug?
Doug Horne: Thank you, Mike, and good morning, everyone. For Q2 total operating revenues were $767 million, which was up 89.7% as compared with the prior year quarter as a result of the acquisition of Legacy Gannett in Q4 of 2019. On a same-store pro forma basis, operating revenues were down 28% as compared with the prior year quarter due to the economic slowdown brought on by the pandemic. Adjusted EBITDA totaled $78 million in the quarter. This reflects the impact of the lower revenues, which was partially offset by cost reductions and synergy savings. The adjusted EBITDA margin in the quarter was 10.2% roughly in line with that of Q1. In the second quarter expenses were reduced by approximately 26% on a pro forma basis reflecting compensation statements from various cost reduction and synergy initiatives, significant newsprint savings for both lower volumes as well as lower prices and continued production and distribution efficiencies. Now, let’s spend a moment on our segment results. Within the publishing segment in the second quarter, revenue was $695 million and within that print advertising was down 4% to the prior year on a same-store pro forma basis reflecting continued secular pressures as well as the disruption from the pandemic. However, we were very pleased to see approximately 15 points of year-over-year improvement from April to June. Digital advertising and marketing services revenues decreased 26.7% on a same-store pro forma basis, driven by the disruption from the pandemic. Lower demand for premium display advertising coupled with pressure on programmatic CPMs contributed to the decrease for our digital media and digital classifieds products. With that said, year-over-year trends in digital advertising and marketing services improved each month during the quarter. Circulation revenues decreased 13.6 % compared to the same-store pro forma basis, which reflects the negative impact on the pandemic specifically on single copy sales during the quarter. Home delivery circulation trends remain consistent with Q1 trends and we did not see a negative impact as a result of the pandemic. Paid digital-only subscriber revenue grew 31.3% year-over-year on a pro forma basis to approximately 927,000 subscriptions, and digital-only subscriber revenue grew 38% on a pro forma basis as compared with the prior year. Adjusted EBITDA for the publishing segment totaled $92 million, representing a margin of 13.2% in the second quarter. In terms of the Marketing Solutions segment. Total revenue in the second quarter was $94.6 million, a decrease year-over-year of 24% on a same store pro forma basis, and this was driven by the pandemic. Our reach local business saw the strongest rebound during the quarter, and we plan to build upon this momentum in the second half of the year. Adjusted EBITDA for the Marketing Solutions segment totaled $2.8 million, representing a margin of 2.9% in the second quarter. Our Q2 GAAP net loss attributable to Gannette was $436.9 million. This was driven by the non-cash, goodwill and intangible impairment charge of $693.1 million that was incurred and this was due to the impact of the pandemic on the company’s operations. Our net loss also reflects $66.3 million of depreciation and amortization. Additionally, the company’s effective tax rate for the quarter was primarily driven by the nondeductible portion of the goodwill and intangible impairment charge as well as valuation allowances as associated with our deferred tax assets related to interest expense. We ended the quarter with $1.74 billion of debt, after paying down $6.3 million during the quarter. Our cash balance was $158.6 million at the end of Q2, resulting in net debt of $1.58 billion. Capital expenditures totaled approximately $8.4 million during Q2, reflecting investments related to digital product development and real estate transactions due to ongoing facility consolidations. In addition to our expense measures, we also preserved cash by relying on certain provisions of the CARES Act, which will enable us to defer over $50 million of payments relating to ERISA pension contributions and employer FICA taxes. We were also able to defer the timing of certain required additional pension contributions that were originally scheduled as lump payments in 2020 and 2021. Those will now be made in quarterly installments beginning in Q4 of this year, through Q3 of 2022. We’re also effectively managing our capital expenditures, which we expect to be more than 20% lower for 2020 than we had originally planned. During the quarter, we completed our first interest payment under our credit facility of approximately $125 million. That payment represented interest that had accrued since our closing in November of 2019. Going forward, we’re going to be paying approximately $50 million per quarter in interest, and this will decline as we continue to pay down debt. Paying down our debt continues to be our top fiscal priority. In the second quarter, we used proceeds from real estate sales to further reduce debt by $6.3 million. Some planned real estate sales are taking a bit longer to complete than we had originally hoped, but we have over $15 million of property currently under contract and remain confident in our ability to sell $100 million to $125 million of property by the end of 2021. We ended the quarter with over $158 million of cash on the balance sheet, so we are in a strong liquidity position heading into second half of the year. We remain very confident in our ability to satisfy our obligations under our term loan. Later today, we plan to put in place an at-the-market equity offering program for up to $50 million of our common stock. While we have no current intention to sell common stock at current prices, we decided to put the program in place for good housekeeping and added flexibility. More details on this program will be available in our prospectus supplement, which we expect to file later today in conjunction with the filing of our second quarter Form 10-Q. Ashley, I’ll hand it back to you.
Ashley Higgins: Thanks, so much, Doug. Natalya, could you please remind everyone how to put a question through, if they have interest?
Operator: [Operator Instructions] Okay, there are no questions. I will turn the call back over to Mr. Mike Reed.
 :
 :
Mike Reed: Thank you. And thanks, Doug, for that wrap-up of the quarter. And just to reiterate for everybody, Doug mentioned towards the end there that we are putting an at-the-market equity offering program in place. And, obviously, we have no current intentions to sell stock at these prices. We’re just putting it in place now for future added flexibility. We think it’s good housekeeping, as Doug mentioned, but just wanted to reassure everybody. We think we’re undervalued today, and at these price levels, we wouldn’t have any intention to use it. And then, just to wrap up, while the second quarter was significantly impacted by the health and the economic crisis, we moved quickly to execute additional cost savings measures that preserved our EBITDA margins, and we expect to roll those cost actions through Q3 and Q4, switching them from temporary to permanent. We do expect the remainder of the year to be challenged, though we are encouraged by the continuous trend improvement we have seen on our revenue line. We ended the quarter, as Doug mentioned, with a strong liquidity position, with over $158 million of cash on the balance sheet. And as I just mentioned, are extending our pandemic-related cost efforts through the end of the year. We continue to reduce our outstanding debt and remain highly confident in our ability to meet our obligations under the term loan. Despite the tough backdrop in our country, we remain confident in our ability to execute on our plans, including the integration of our 2 companies, debt repayment, investment and revenue growth categories, and our overall cost reductions. We remain very optimistic about the future and our ability to create value. Thanks for joining us this morning, and we look forward to updating you again in 3 months on how Q3 went. Thanks. Have a great day, everyone.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.